Operator: Ladies and gentlemen, thank you for standing by. [Operator Instructions] I would now like to turn the conference over to Tahmin Clarke. Please go ahead, sir.
Tahmin Clarke: Thank you, operator. Good afternoon, and welcome to Arlo Technologies Fourth Quarter and Year-End 2025 Financial Results Conference Call. Joining us from the company are Mr. Matthew McRae, CEO; and Mr. Kurt Binder, COO and CFO. If you have not received a copy of today's release, please visit Arlo's Investor Relations website at investor.arlo.com. Before we begin the formal remarks, we advise you that today's conference call contains forward-looking statements. Forward-looking statements include statements regarding our potential future business, operating results and financial condition, including descriptions of our revenue, gross margins, operating margins, earnings per share, expenses, cash outlook, free cash flow and free cash flow margin, ARR, Rule of 40 and other KPIs, guidance for the first quarter and full year of 2026, the long-range plan targets, the rate and timing of paid subscriber growth, the commercial launch and momentum of new products and services, the timing and impact of tariffs, strategic objectives and initiatives, market expansion and future growth, partnerships with various market leaders and strategic collaborators, continued new product and service differentiation and the impact of general macroeconomic conditions on our business, operating results and financial condition. Actual results or trends could differ materially from those contemplated by these forward-looking statements. For more information, please refer to the risk factors discussed in Arlo's periodic filings with the SEC, including our annual report on Form 10-K filed earlier today. Any forward-looking statements that we make on this call are based on assumptions as of today, and Arlo undertakes no obligation to update these statements as a result of new information or future events. In addition, several non-GAAP financial measures will be discussed on this call. A reconciliation of the GAAP to non-GAAP measures can be found in today's press release on our Investor Relations website. At this time, I would now like to turn the call over to Matt.
Matthew McRae: Thank you, Tom, and thank you, everyone, for joining us today. In addition to providing an overview of our recent performance, we have designed this year-end call to provide a deeper dive into our broader strategy and the investments which provide a path for continuing growth into the future. But first, let's jump straight into our results. Arlo had an incredibly strong fourth quarter. Total revenue came in at $141 million, slightly above the high end of our guidance range and fueled by our product launches and impressive performance across our services business. In fact, service revenue hit $89 million, representing 63% of total revenue and grew at an astounding 39% year-over-year. This momentum propelled our annual recurring revenue to $330 million, which is up 28% year-over-year. Fourth quarter EBITDA hit $23 million, up an incredible 138% year-over-year and resulted in Arlo posting $0.22 of non-GAAP EPS, substantially above the high end of our guidance range. And looking at our SaaS performance in the quarter by utilizing the Rule of 40, Arlo achieved a score of 45, putting us in an elite handful of companies executing at this level. Underpinning the record-breaking quarter and continued expansion of our services business is a world-class team that is executing at the highest level. I would like to touch on a couple of examples. Last year, we continued our strong pace of innovation and deployed Arlo Secure 6 across our user base, introducing a myriad of class-leading features, including an advanced multi-recognition engine, AI-based scene descriptions, numerous new AI-based audio detections and the only personalized AI micro model capability in the world. We also made innumerable performance and interface improvements throughout the year to retain our leadership position in simple yet powerful user experiences. And in the second half of 2025, Arlo executed the largest device launch in company history, comprising of more than 109 unique SKUs across our channel partners. We shipped more than 800,000 units in the first 60 days of production and achieved our planned supply ramp to ensure strong unit sales in the quarter with no excess inventory. This was an extraordinarily complex endeavor, and the team executed flawlessly. The reception of our new products and services has been outstanding. Our customer and professional reviews are the strongest Arlo has seen for a new product launch in our history with numerous models already receiving multiple editor's choice and best of awards. Our new lineup not only contributed to Q4 results, it serves as the foundation of our continuing growth in 2026. The other example of exceptional execution is when you look across our SaaS performance metrics. Our monthly consolidated churn dropped to 1% in the fourth quarter. Or said another way, our monthly subscriber retention rate is 99%, which means a paying user stays with our service for more than 8 years on average. This achievement is the culmination of numerous small improvements across our platform, including performance enhancements, customer care improvements, billing system improvements and deeper insights at the user cohort level driven by our vast data sets. And when you dig deeper into our retail and direct accounts, Arlo's SaaS unit economics are world-class. Average monthly revenue per user grew to $15.30 during Q4, aided by additional upward migration of customers to our AI-driven service plans. And these subscriptions, which account for 89% of our annual recurring revenue, generated an outstanding 94% gross margin. These numbers, coupled with our low churn drove the lifetime value or LTV per subscriber up to $917, up 23% from a year ago and a new record for Arlo. Despite this being the promotional holiday quarter, our customer acquisition cost or CAC remained stable, while retail unit sales grew more than 20% year-over-year. Taken together, this performance drove Arlo's LTV to CAC ratio up to 4.0. This is an optimal result for our services business as a score below 3 would indicate a less efficient user funnel and a score above 5 would indicate missing opportunities for additional growth. We constantly balance our unit growth, product gross margin, household formation, conversion and other key metrics to ultimately expand our financial results, which are clear again this quarter. Arlo's corporate non-GAAP gross margin grew by more than 1,000 basis points year-over-year to a record 47.8% and our non-GAAP EPS improved 120% to a record $0.22. Looking back at the full year in review, the goals we set at the beginning of last year were ambitious, and Arlo delivered across the board. Arlo Secure 6 provided significant platform innovation by launching numerous AI enhancements that drove subscriptions and user engagement. Arlo executed the largest product launch in the company's history, which fueled our unit sales growth in the second half. Our expanded product lineup allowed us to nearly double our shelf share at Walmart and significantly increase our assortment across other retail and e-commerce channel partners. Arlo landed several new strategic partners, which creates incremental growth opportunities and further diversifies our revenue sources, a topic I will discuss later in more detail. We targeted a minimum of 20% growth or $300 million of service revenue and actually achieved an outstanding $316 million of service revenue in 2025. And finally, we set out to be one of a handful of SaaS companies whose business was growing fast enough to be Rule of 40. Arlo delivered a full year score of 42.5, which places us amongst an extremely small selection of public companies to achieve such profitable growth. 2025 was a phenomenal year for Arlo, and I want to thank the team for the dedication and outstanding execution across every aspect of our business. And now I will turn it over to Kurt, who will provide more details on our operating results.
Kurt Binder: Thank you, Matt, and thank you, everyone, for joining us today. 2025 was another tremendous year for Arlo as we generated outstanding financial and operational results. Our subscription-driven strategy and services business remain paramount to our success. And as a result, we are now experiencing the benefits of stellar execution and a clear strategy. We continue to utilize our innovative products and competitive pricing to identify, target and monetize new households with our AI-enabled services. This approach, along with a disciplined focus on execution, enables us to consistently deliver record levels of subscription and services revenue, ARR, gross margin and free cash flow. Let's briefly review our consolidated results for 2025 when compared to the original guidance we provided at this time last year. At the beginning of the year, we shared our expectations to deliver consolidated revenue in the range of $510 million to $540 million, with subscriptions and services revenue comprising 50% or more of total revenue or approximately $300 million. We ended 2025 with actual consolidated revenue of about $530 million and subscriptions and services revenue at $316 million or 60% of total revenue. Our top line revenue performance was strong. But what's truly remarkable is our ability to substantially exceed our goals for profitability in a year fraught with uncertainty due to macroeconomic, geopolitical and tariff challenges. We generated record levels of EBITDA, which resulted in an adjusted EBITDA margin of 14.1%. Additionally, our bottom line outperformance was even more impressive given the non-GAAP EPS outlook range of $0.56 to $0.66 as we provided when we embarked on the year. We delivered an impressive non-GAAP EPS of $0.70, surpassing the high end of our guidance even withstanding the impact of tariffs, an incredible outcome for our shareholders and a testament to the phenomenal execution by this team. Our installed base of paid accounts continued its robust growth trajectory coming in at 5.7 million accounts for 2025, an increase of 24% for the year. Our paid account growth aligns with the 23% increase in retail POS or point-of-sale volume that we experienced with our new product launch in the second half of the year and the continued success with our strategic partners. Our performance at Walmart was solid, aided by an expansion in shelf space. We capitalized on the power of the Amazon platform, generating additional paid accounts through this digital channel. We expect to continue to drive paid account growth in 2026 as we launched several initiatives designed to enhance our conversion and subscription retention. The strength of the Arlo value proposition is powered by annual recurring revenue as we ended the year with $330 million in ARR, up an outstanding 28% year-over-year. This was driven by strong subscription growth and continued expansion in ARPU. In 2025, our ARPU increased from approximately $12.60 to $15.30, resulting from our service plan optimizations that occurred in early 2025 and customers selecting our higher-tiered AI-driven service offerings. We expect to deliver incremental ARPU benefits in 2026 through additional subscription plan optimizations and subscriber retention initiatives, thereby delivering durable and predictable revenue with the goal of surpassing our long-term ARR targets. Our services transformation has been remarkable as we ended 2025 with over $316 million in subscriptions and services revenue, up 30% year-over-year. Subscriptions and service revenue for the full year now comprises 60% of total revenue, a significant milestone that is driving Arlo's expansion in profitability. Additionally, our Q4 subscriptions and services revenue was $89 million, an increase of about 40% when compared to the same period last year. Our non-GAAP subscriptions and services gross margin came in at 84% for the quarter, up 230 basis points when compared to the same period last year. As a point of emphasis, our retail paid accounts generated about 90% of 2025 subscriptions and services revenue with a gross margin of 94% truly remarkable. Subscriptions and services gross margins were positively impacted by improvement in retail and direct ARPU, coupled with a more favorable cost to serve as we continue to gain scale with our cloud storage partners. Approximately $4 million of Q4 subscriptions and services revenue was attributable to nonrecurring engineering services from a strategic partner. As we attract larger, higher-profile partners, we can expect additional revenue to be derived from this type of development work as we integrate our innovative platform and AI algorithms. While highly profitable, NRE has a slightly lower margin profile than our core subscriptions and services revenue. In summary, all of the variables that drive our outstanding unit economics have improved, resulting in significant growth in our LTV to over $900. Non-GAAP gross profit for the fourth quarter was $67.6 million, resulting in non-GAAP gross margin of 47.8%, up an outstanding 48% on an absolute dollar basis when compared to the same period last year. This trend was driven by the larger percentage of total revenue coming from subscriptions and services in Q4. Additionally, our product gross margins rebounded by almost 300 basis points in the period when compared to the third quarter levels, aiding the consolidated margin improvement. As we enhance our consolidated gross margins, this success confirms that leaning into product margin to generate additional paid accounts is the right strategy. It should be noted that this tremendous outcome would not be possible without the outstanding execution by the teams to successfully navigate a challenging new product launch and related tariffs. We generated outstanding growth in adjusted EBITDA during 2025. For the year, adjusted EBITDA was $74.7 million, an increase of 85% year-over-year and represents an adjusted EBITDA margin of 14.1%. We exited the year with strong momentum in Q4, delivering adjusted EBITDA of $23.3 million, up an impressive 138% year-over-year for an adjusted EBITDA margin of 16.5%. The expansion in EBITDA margin resulted from our disciplined management of operating expenses. Total non-GAAP operating expenses for the full year of 2025 were $165.7 million. Non-GAAP operating expenses on an annual basis have increased over the past 5 years at a 6% CAGR from $123.2 million in 2021. During that same time frame, we have grown service revenue from $103.5 million to $316.4 million, representing a 25% CAGR over the same 5 years, a growth rate of 4x our OpEx spend. Our ability to manage our operating expenses while investing in R&D and sales initiatives to support the stellar growth in our subscriptions business underscores the operating leverage that is innate to this business model. In Q4, we posted non-GAAP net income of $23.9 million or net income per diluted share of $0.22, significantly ahead of consensus estimates. This performance represented net income growth of more than 100% when compared to the same period last year. For 2025, we recorded non-GAAP net income of $77.3 million, up more than $35 million or 83% when compared to the prior year period. Our non-GAAP net income translated to a net income per diluted share of $0.70 in 2025. Again, an outstanding improvement from a net income per diluted share of $0.40 in 2024. Strong adjusted EBITDA, coupled with exceptional working capital management helped drive our 2025 free cash flow to $66.9 million, which is up 38% year-over-year with free cash flow margin of 12.6%. Continued free cash flow expansion, fueled by exponential subscription and services revenue growth demonstrates how far Arlo has progressed over the past 5 years. We ended the quarter with $166 million in available cash, cash equivalents and short-term investments. Our cash was up $15 million year-over-year, underscoring the improvement in profitability, even withstanding our investment in Origin Wireless and the $45 million return of capital to our stockholders through our share repurchase plan. Given our expected ARR growth and expanding profitability, free cash flow generation will continue into 2026, and our cash position will improve over time, thereby enabling us to pursue a more aggressive capital allocation program in the near term. Our DSO levels for the quarter were 26 days in Q4 of 2025, down significantly from the levels in prior quarters, highlighting a favorable working capital trend resulting from a subscription-based operating model. As our revenue shifts to monthly and annual subscriptions versus product sales, there will be a corresponding improvement in the timing of collections while reducing the level of investment in working capital. Our DSOs may fluctuate from quarter-to-quarter, but we are pleased with the improving status and collectability of outstanding receivables. Inventory is at $41.2 million and down from $44 million in the third quarter. Our inventory turnover remained solid in Q4 at 5.9x, down from 6.4x in Q3, a modest decline as we successfully managed our ending inventory as well as the inventory in channel. Arlo's inventory levels are now well positioned as we proceed into the first quarter of 2026, once again highlighting the exceptional operating performance of the Arlo team.
Matthew McRae: Thank you, Kurt. Arlo's performance in 2025 was truly outstanding and a reflection of both the fundamental strength of our business and the excellent execution across the team. In parallel to delivering on our 2025 plan, Arlo has been hard at work building the foundation for continued growth in the coming years, and I would like to update you on a few of these initiatives. Arlo has a multipronged strategy to drive growth across the business as we look to exceed our long-range plan. First is to continue our faster-than-market growth in the retail and direct channels. Our recent product launch drove an expansion of Arlo's assortment across channels, and we continue to capture share in our key market segments. Arlo will also launch several new retailers over the next 12 months, allowing us to reach new customers and market segments. And as I mentioned before, 89% of our service revenue is generated from users that became subscribers by purchasing Arlo devices in this channel and incremental household formation will drive our services business. Our software and services road map remains a key lever for growth, and Arlo has a robust pipeline of new features, AI-powered capabilities and additional subscription tiers, which will begin to roll out later this year. Arlo is set up for continued success across our SaaS metrics, including subscriber acquisition, ARPU expansion and retention. These services will layer on top of our massive product refresh from last year, new devices launching this year and a new hardware platform launching in 2027. Arlo will continue to focus on new strategic partnerships that fuel both additional growth and diversification. These partnerships can provide access to millions of users at scale with little or no customer acquisition cost and provide substantial incremental service revenue. Arlo is uniquely positioned to capture these partner opportunities due to our world-class technology stack, mature partner APIs and our unrelenting focus on data privacy, a topic that sharply differentiates us from the other players in the market today. And finally, Arlo will take our first step to expand into new adjacencies. Several multibillion-dollar markets exist that could leverage a substantial portion of our current platform. We have been cautious until it was clear Arlo is well on our path to meet or exceed the long-range commitments we made to investors. But the time is now. I have never been more confident in our management team, our strategic plan, our platform and our ability to execute through the global volatility that seems to be the new norm. Arlo is ready to add new initiatives while managing the execution of our core plan. You will see Arlo planting the seeds for the small business market and the agent place market. All of this is enabled and built upon the world's most advanced, resilient and innovative SaaS platform inherently designed for real-time smart safety and security. Arlo launched this platform with artificial intelligence integrated at the core in 2018 and has been driving AI-based consumer subscription services at scale for 8 years. In fact, we invented this market, and our longevity means that you will see our seventh generation platform launch this year to keep us ahead of the competition. And as I mentioned earlier, this platform and our focused execution are helping us win numerous large-scale branded partnerships that will drive growth over the next 3 to 5 years. In addition to our previous announcement with ADT, there are 2 new strategic partnerships I'd like to touch on today. At the Consumer Electronics Show in January, we announced our new partnership with Samsung. Arlo will be powering an emergency response service across Samsung devices in the United States. Samsung Smart Things will offer this new service to a substantial portion of the 425 million Smart Things users. It will be branded Smart Things Safe Premium powered by Arlo and represents our first partnership that is solely based on SaaS services without reliance on a hardware component. We are extremely excited about this next stage of our partnership with Samsung and expect to see more information next quarter. And finally, we are excited to announce a partnership with Comcast to provide connected home security solutions to millions of its Xfinity Internet households in the United States. More information about this offering will be provided by Comcast closer to the market launch. But I can say from our side, it is difficult to overstate the potential impact of this partnership, which could grow larger than our Verisure partnership over time. All of these partnerships will contribute to our business in 2026, but truly ramp in 2027 and beyond. Let me back up a bit and review the capital allocation plan we rolled out in 2024. It has 3 main pillars. First, a focus on organic investment, Arlo's traditional pillar of differentiation. This should be evident in our huge product refresh, Arlo Secure 6 platform enhancements, strategic partner engagements and our share growth in core markets. It is the core tenet of our success to date, and I see no limit on the ROI as we drive this market forward with additional innovation and channels launching over the next 2 to 3 years. The second pillar is share repurchase or investing in ourselves. It is no secret, and I know many investors share the sentiment that Arlo is undervalued relative to our financial performance. Over the last year, we demonstrated our commitment to this area by repurchasing over 3.3 million shares, and you will see this commitment continue, as I'll talk about on the next slide. And finally, the third pillar is our inorganic investment, which includes deep technology partnerships or acquisitions that could accelerate our path to Arlo's long-term targets. You can expect Arlo to be more active in this area over the next year as well. Once again, if we look at software companies that are near a Rule of 40 measure, we come up with 24 companies that at least hit a score of 35. The revenue multiple for those companies is 5. If we then limit those companies to those with more than 20% revenue growth, it reduces the list to 8 companies, and they have a multiple of 6.4. Arlo's service business has a growth rate of nearly 30%, and we achieved a full year 2025 score of 42.5%. However, the multiple on our service business is around 3x. We feel we are substantially undervalued compared to our performance. As such, our Board has approved an additional $50 million to repurchase Arlo shares, and this was one of the easiest decisions we've made inside of our capital allocation plan. And now I will turn the call back over to Kurt, who will give our forward-looking guidance.
Kurt Binder: Thank you, Matt. Before I provide an outlook for 2026, I want to share some perspective that is foundational to our confidence in our outlook for the current year and beyond. Over the past few years, we told you that Arlo would transform into a durable recurring revenue subscriptions and services business, and we have accomplished that. We assured you that Arlo would be a market leader in innovation and technology with a scalable AI-driven platform, and we have exceeded on that front. Last year, we indicated that we would evolve into an enterprise-grade business supporting large global companies. And the recent signing of Comcast caps off a year where we have added ADT and Samsung to a robust portfolio of strategic partnerships. We believe the latest evolution will enable Arlo to diversify our revenue base and further enhance our operating model. The latest evolution will enable Arlo to diversify our revenue base and further enhance our operating model. With that said, we expect the first quarter consolidated revenue for 2026 to be in the range of $135 million to $145 million. We expect our first quarter GAAP net earnings per share to be between $0.01 and $0.07 and our non-GAAP net income per diluted share to be between $0.17 and $0.23 per share. We expect product margins in the period to rebound from the level that we reported in the fourth quarter of 2025. For the full year 2026, we expect consolidated revenue to be in the range of $550 million to $580 million, with service revenue comprising greater than 65% of total revenue. We will implement initiatives to improve customer retention and drive higher conversion, and we will adjust our innovative service offerings to enable us to deliver ARPU growth and expanded ARR. These efforts will enable us to generate service revenue in the range of $375 million to $385 million in 2026. And finally, we expect our non-GAAP net income per diluted share to be between $0.75 and $0.85 per share. As you're aware, there was a ruling by the Supreme Court striking down the tariffs that were put in place by the administration last year. At this point, a great deal of uncertainty remains around the tariffs and our ability to recoup funds from tariffs that were previously paid. Given the lack of clarity, our outlook assumes that we will remain subject to the 20% tariff structure already in place prior to the ruling, and we will continue to monitor the situation closely and provide an update if necessary. Our innovative platform, coupled with our subscriptions-driven strategy has delivered outstanding results over the past 5 years. Our paid subscribers have increased by more than 10x to 5.7 million. Our annual recurring revenue is up more than 7x to $330 million. and our highly profitable retail subscriber base continues to drive the expansion of our overall profitability, resulting in adjusted EBITDA margin of 14%, which is up 30 percentage points. A customer-focused mindset and steadfast execution has enabled us to consistently deliver these outstanding SaaS results over the past 5 years. And we are well positioned to continue this trajectory over the next 5 years as we progress towards achieving our long-range plan targets. Now let me turn the presentation over to Matt.
Matthew McRae: Thank you, Kurt. Given our rapid growth, stellar results and exciting new components of our business, I would like to quickly level set on where Arlo stands. Arlo is a rapidly growing SaaS business that pioneered the DIY security market and created AI-powered services to create a compelling user experience. Arlo's singular focus on the smart home security market has allowed us to move quicker, innovate faster and maintain technology leadership in the market. Every day, every person at Arlo is solely dedicated to delivering on our safety and security pledge. Our mission is to connect and protect what people care about most. And that mission extends to our users and partners through our privacy pledge, which is transparent and clear. Your data will only be used to cultivate the best security experience for you. It's that pledge and singular focus, which has allowed some of the largest strategic players in the world like Samsung, Comcast and ADT to team up with Arlo to be their security partner of choice. And our continuous investment in our platform remains a substantial differentiator. While others have been pulling back on their investment in the segment, we have been pushing the boundaries further. We leverage our class-leading devices to acquire users and lock in long-term relationships that can't be disintermediated like many other AI or subscription business. And our groundbreaking features and functionality that we deployed in Arlo Secure 6 will only be further enhanced by our rollout of Arlo Secure 7 later this year. The home security market is large and growing quickly, now valued at $25 billion in the U.S. alone, and we estimate that the penetration of our market remains in the early innings at just over 20%. Our routes to this market have historically been retail channel partners, but we have diversified that into business-to-business strategic partners as well, ensuring access to hundreds of millions of households for future user acquisition. And now Arlo is making investments that will launch features and services across several areas, including the broader smart home segment, small business and the enormous agent place market, which increased the available TAM more than tenfold. A quick glance at Arlo shows a SaaS company with over $330 million in recurring revenue, growing at 28%, service gross margins at 84%, a strong LTV to CAC ratio of 4 and a 2025 service business Rule of 40 score of 42.5. These are the metrics of a world-class services company, and we feel like we are just getting started. Looking ahead, the components of Arlo's future success are clear. We will continue the fast pace of platform innovation, which drives our service business. You will see continued growth in our core channels, which drives new household formation. We will launch and monetize our new impactful strategic partners. You will see us invest in new adjacent market segments. We are targeting more than 20% service revenue growth again in 2026, and we will invest in ourselves by repurchasing shares. Our investments and execution have set up Arlo not only for a strong growth in 2026, but also in 2027 and beyond as we reap and reinvest the rewards of our recent performance and strategic account wins over the coming years. I have never been more excited about the vast opportunities that lay in front of us, and we have the foundation and the team to go maximize success. And now we will open the call for questions.
Operator: [Operator Instructions] Our first question comes from the line of Jacob Stephan with Lake Street Capital Markets.
Jacob Stephan: On a great year and a really strong guide to start off '26 here. Maybe just first off, I wanted to touch on kind of the 2 strategic partnerships, more specifically Comcast and ADT. So when I look at Comcast, you've got 31 million subscribers that have Xfinity. Maybe help us think through kind of -- is this kind of like a Calix-type partnership? And then maybe just kind of lay that over with a quick ADT update.
Matthew McRae: Yes. So maybe I'll go in order of the partnerships that we've announced or talked about either previously or today. So ADT is going very well. The technical integration was basically done by the end of last year. And so what's being done now is planning for their go-to-market. And again, I don't want to kind of get ahead of their launch announcement, but the original target was sometime in the middle of this year. And so we're excited about seeing that come to market because I think it will be able to trigger a lot of growth for them. And it's an exciting partnership for us because of, obviously, their scale and their brand in the segment. We've been able to open Arlo up to a lot of households that we're not really addressing right now through our primary channels of retail and direct. So if I look at Samsung, Samsung is interesting, even though it was publicly announced at CES, I think people kind of missed the impact of that partnership. So what we announced is actually powering an emergency service across Samsung devices. It will start with their mobile phones and tablets, but you should expect that to kind of broaden across all Samsung devices starting in the United States. It's a very large population of users. And what's really interesting about that is, like I said on the call, it's the first time we've done a real deep partnership and integration without hardware, right? I mean they have hardware. It's on their phones and tablets. But for us, the integration is we're really just powering a pure service and subscription service that Samsung will be providing out to their Smart Things users. So that's really exciting. And like we said on the call, I think you'll see more information coming up next quarter. Comcast, I can't say too much about. So it's announced. We'll be doing -- what I would suggest is the integration of a very large partnership like this takes usually between 9 and maybe 12 months. So that's -- there'll be a lot of work making sure that the technology is integrated and Comcast is ready to deploy. But I think you'll see that provide some revenue for us this year, but then really ramp going into '27 and beyond. But there'll be a lot more information when Comcast is ready to release more information about the partnership. But like I said on the call, from our perspective, the scale of Comcast, how many Xfinity customers they have is really exciting for us. And I think the partnership for us could be as impactful, if not more impactful from a service revenue perspective than even Verisure, which is one of our largest and most successful partners.
Jacob Stephan: Got it. Very helpful. Maybe just to kind of touch on some of these -- the new products, the new hardware products that you're kind of planning to launch over the 2026 as well. I mean, what end markets are attractive? You kind of look at your history and your spin-off from NETGEAR. Are routers on the table? Or what's -- I guess, what's exciting about the different hardware products?
Matthew McRae: Yes. So what you've seen us do is at the end of last year, we did basically a pretty comprehensive refresh, right, 109 SKUs across our channels. And that really set the foundation for not only having a successful holiday period, which we demonstrated, but the foundation for a bulk of sales that we'll be doing in 2026. So we think we're situated extraordinarily well for 2026. And you'll see some updates to some of those products and a couple of new form factors this year and really adding to the assortment of cameras and working. I say not too much, working on some product segments that are seeing some specific growth, very similar to what we did in P2Z in the refresh that we did last year. So that will continue to grow, and we'll be able to grow assortment and market share with those launches this year. When we look into 2027, we talked about launching a new hardware platform, and that is going to be a combination of a couple of things. One is it will be a refresh of a technology-first or innovation-led type platform, new user experiences, starting from scratch a little bit, thinking about home security in the world where the experiences can be AI native or built from -- with AI from the very beginning. So think of a clean sheet of paper and starting over in the space, starting at the high end, and coming out in 2027, but also broadening into the broader market of smart home control, right? It doesn't mean we'll be building those devices in every respect, but the idea of being able to make the smart home and the various devices that are in a smart home participate in home security in the smart home ecosystem. So you'll see that. The other thing we're starting to work on is making a more deliberate push into small business. That is an extremely large market, very fragmented. And the next-generation platform will be geared towards that market segment as well. And you could see us make some service announcements later this year is starting to test that market, getting ready for maybe a bigger deployment in 2027. And then there's some other areas that are very interesting to us. So as we looked to adjacent markets that where 90% of what would be deployed is technologies or platforms we already have, you'll see us maybe make some moves in the second half of this year into other markets like agent place or some of these other areas, and that could involve new hardware as well. So like I was speaking about earlier on the prepared remarks, I feel that the time is now for Arlo to start to accelerate growth and our investment in some of these adjacent markets and which will fuel faster growth than we're sitting here today. So we spent a lot of time recently thinking about not only 2026 growth, but really '27 and '28 and making sure that we're investing correctly to drive that growth. And I think we've done a really good job. And you'll see more of that be rolled out with more detail probably over the next 12 to 18 months.
Jacob Stephan: Okay. And if I could just sneak one more in. The service revenue in the quarter, $89 million, that was well above what we were expecting. Maybe you could kind of help us think through, is this the kind of second phase of the plan simplification you did earlier this year? Or maybe just any kind of color you can provide as to why that was such a strong sequential number?
Kurt Binder: Yes. Jacob, it's Kurt. So yes, most -- so $89 million for Q4 was a great quarter for us. Obviously, we continue to build on the previous 2 or 3 quarters with the service plan optimization that we kicked off and also on the ARPU expansion that we experienced. So the core business grew nicely as a result of adding new subs especially coming out of the retail and direct channel and then the ARPU expansion. We did have about $4 million of NRE in Q4 hit. This was associated with a strategic partner that we've been working with for the better part of a year. They came in and actually increased our service revenue. did have a slight impact on our overall services margin. But all in all, it was a nice windfall for us in the fourth quarter. So I think, as I mentioned in the prerecorded remarks, you're going to see a little bit more of this as we go into 2026. Given the caliber of the strategic accounts that we're working with now, we're being asked to do a lot of integration work with our platform. And as a result of that, we're monetizing service revenue through those relationships a bit earlier than sort of what we've done in the past. So 2026, you'll continue to see growth in our core subscription business, and then we'll add on in these cases where we're working hard to deliver on the promises to these large strategic accounts.
Operator: Our next question comes from the line of Scott Searle with ROTH Capital.
Scott Searle: Great job on the fourth quarter and really exciting in terms of the strategic opportunities and new adjacencies that you guys are moving into. Maybe in terms of starting, the outlook for subscription and services growth this year of around 20%. I'm wondering if you could give us an idea of strategic contribution into that number. How much are you guys factoring in? It seems like we might start to get some in the second half, but it's going to be fairly limited on that and which sets up a nice growth trajectory into '27. But also as part of that, I'm wondering if you could talk about the opportunity pipeline as well. Are there additional opportunities that you guys have percolating there? I also would like to couple that, Matt, with the privacy concerns have really reached, I'll call it, a little bit more of a fever pitch now and how that's factoring into how you guys are positioned on that front. And then where adjacencies kind of fit into the numbers this year? Is there any contribution that you guys are assuming at all at this point? And then I had another follow-up.
Matthew McRae: Yes. So maybe I'll start with the privacy matter. So as you know, over the last, I would say, I guess, 6 weeks or so, 4 to 6 weeks, privacy and the idea of data security and data ownership has really become a topic in the public's mind, but also, I would tell you, in strategic partners and the industry as a whole. We are very proud of the pledge and the stance that we've always taken at Arlo, which is it's not our data. It's your data as a customer. We're servicing it on your behalf. If you choose to share it to somebody, that's fine, but we are not taking that data and using it in unexpected ways or sharing it with third parties without your permission or anything else. And I will tell you, I think that's helped in the consumer market, and we're hearing that from the channel, and we're hearing that from our customers directly. But like I said, I think it's having a big impact with potential strategic partners. So when we talk to some of the accounts and some of the partnerships -- partners that we've mentioned on the call and some of the ones that may be coming, this is increasingly a topic of discussion and something that they're using to make their decision on where to put their investment from a relationship perspective. So I think it's why Arlo is winning in most cases when it comes to driving strategic partnerships and having that be part of our growth going forward as part of our long-range plan. When you talk -- you asked about what's the revenue contribution when we look at the 20% or more service revenue. A big portion of that is still just the core business growing. We're capturing share at retail. We're driving more households. We have current strategic partners that are helping drive that as well. You will see some contribution on the service revenue line. As Kurt was saying, a chunk of that will be NRE and some of the nonrecurring fees that we're working with. And that's one of the reasons you're seeing the normal ratio of ARR to service revenue change just a little bit because we don't treat NRE as recurring. We treat it as service revenue only. And so you'll see that change just a little bit like you saw in Q4. So there will be a contribution in service revenue as we execute the engineering and the integration with some of these partners. But I would tell you, I think then when you look at ARR or the service recurring component of a lot of those relationships, you're right. We'll see a little bit of that in the second half. But I think what you'll see in more materiality will be in 2027 as those launch and ramp and have time to actually saturate into the marketplace. As far as adjacencies, we haven't really included any of that in the plan. We really are looking at maybe doing tests, some investments in that area. So again, I think it's more of a setup for 2027 growth when you look at ARR and service revenue. But you'll see some of that come in by the second half. And there's more information we'll share probably either before or at the next call.
Scott Searle: Great. Very comprehensive. And if I could, from an investor standpoint, the concerns I've been getting on risks from a feedback standpoint, a bit around privacy, which you've addressed, but also AI in terms of marginalizing the recurring revenue stream and the opportunity in what Arlo provides as basic services. I wonder if you could quickly address that again. I know you had some comments in your opening remarks, but I'm wondering if you could dive deeper. And then as well, concerns about memory, not just in terms of pricing, but also availability, particularly as we get into the second half of this year, how that impacts you and how you guys are thinking about it?
Matthew McRae: Yes. I'll answer the AI component, and then I'll let Kurt talk about the supply chain from an operations perspective. I think the AI market and the potential for disintermediation that we're seeing in the broader software market really just doesn't apply to us. And I think it's one of the key differentiators that Arlo has over most of the market when you look at like an AI SaaS-based market, if you're looking at the broader category. And a lot of that is due to our relationships with our customers drive from a hardware component that they purchase and invest and that draws a linkage to then our cloud services. So there's no way to actually disintermediate and actually drive different AI services to those cameras. They are locked to our back end. It's part of our security mechanism, and we are the only one that provides those services. So there's an inability to actually be disintermediated that doesn't exist in many markets, and that's driven from our dual relationship with the end user. It's a hardware relationship that starts right when they purchase the devices and get them installed that then converts into an ongoing long-term service relationship that makes us very unique in that the user is actually investing in the relationship as much as we are. So it's something that I think is missed by a lot of investors when we get swept up in some of the concerns around AI. It's actually an advantage that I think differentiates us from a lot of what's happening in the marketplace.
Kurt Binder: Yes,. And we, as you know, have been leaders in supply chain management for probably the better part of 15 years. The team that we have at Arlo had began at NETGEAR and has done a phenomenal job of building incredible relationships across the entire supply chain. And those relationships obviously bear significant benefits when you have a situation that's like unfolding today with memory. Memory costs have gone up, absolutely. Across our actual product ecosystem, it represents probably somewhere between 4% and 6% of the BOM cost. And so it's not, I would say, overly significant to us. We look at it as just another element of that cost of customer acquisition because we use that particular product to gain access to a household and convert them into a service or paid household. What I would say to you is that we use the lower end of the DRAM spectrum type capacity. Most of the stuff that's being highly coveted right now is sort of the high-bandwidth memory, which is consuming a lot of capacity at plants. We have multiple suppliers that we can tap into. And at this point in time in all of our discussions with our suppliers, we feel like the supply is available to us and any increase or incremental cost has already been factored into our medium- to long-term plan. So we're feeling pretty good about the situation. Obviously, we're monitoring it closely. And of course, as new information becomes available, we'll make sure that we share it with you guys.
Operator: Our next question comes from the line of Logan Katzman with Raymond James.
Logan Katzman: This is Logan on for Adam. Kurt, maybe for you. We -- I think you mentioned product gross margins for 2026 were expected to rebound off of the 4Q level here. I just wanted to get your thoughts on maybe gross margins in 2026 and more specifically product gross margins and your thoughts on the cadence there.
Kurt Binder: Yes, Logan, let me just clarify a couple of things. So when we came out of Q3, our product gross margin was in, I think, around the negative 17% range. And we had heard from various investors that, that was a bit concerning because it had bounced up a little bit relative to what we were presenting in the first half of this year. And then what you saw in Q4 is it actually came back about 300 basis points. We reported negative margins of about 14.4% for product in Q4. We were pleased with that. We've obviously been very focused on ensuring that we keep our product costs in check. As we communicated in Q3 into Q4, when we launched the third generation of products that Matt mentioned earlier, we brought down the BOM cost anywhere between 25% and 30%. One of the challenges we had in the third quarter of last -- of 2025 was we also had the added cost of EOLing a lot of the existing legacy products. So that impacted our product margins. What I communicated about 2026 was that in Q1, we do expect the product gross margin to continue to bounce back a bit. Currently right now, the first half of 2026 looks pretty strong from a device standpoint. And we're feeling really good about the way we're managing our product margins given the 25% to 30% BOM cost down that we communicated earlier and our ability to manage the promotional sort of the depth and the frequency of promotions at this point. So all we're saying is that we're watching it very closely. We know that it factors into the overall combined gross margin. We hold ourselves accountable to growth in that combined gross margin. And frankly, when you look at the 2025 combined gross margins and the growth that occurred over 2024, we were extremely pleased with that. We also believe that going into 2026, we'll continue to see that growth. And so we'll keep you posted. But right now, we're feeling really good about the way we're managing our overall combined gross margins, given that our services margins are still trending in that 84% to 85% range and our actual product margins are manageable where they are right now and using that particular element as our cost of customer acquisition.
Logan Katzman: Great. That's super helpful. I appreciate it. And then I guess as my follow-up, I just wanted to get your guys' thoughts on what you guys are currently seeing in your international markets and the opportunity you guys see there in 2026. I know one of your largest partners just went public and is talking about maybe doing some expansion. So just curious your guys' thoughts in 2026 around international.
Matthew McRae: Yes, it's a great question. So you're correct. So obviously, our European partner, Verisure went public in October. They've raised a bunch of capital, obviously, using that capital for growth. So when we look out at least over the first half of this year, where we have already forecast, we're expecting some strength and continued growth from that region. So I think that's -- we're starting off really strong there. And they are moving into Mexico and potentially some other areas that they've talked about publicly. And so there was likely some growth there. We are also actually spending more time looking at some of our other regions that we spent less time focused on as we've been driving just core growth in the business. And so you will likely see a little bit more growth in areas like Canada, Australia and New Zealand. And so those are some areas that we're going to start pushing a little bit of investment in as we think they're right for some additional share gain. So international expansion, I would say, is something that we are working on and expecting some strong results as we go into 2026.
Operator: Our next question comes from the line of Anthony Stoss with Craig-Hallum.
Rian Bisson: It's Rian on for Tony. Matt, for you, you mentioned last quarter, shelf share nearly doubled on a SKU basis with Walmart. And we've seen more and more chatter against home security cameras coming out of China and the U.S. I'm curious your thoughts around any further potential share gains or if you're hearing anything from your retail partners regarding that.
Matthew McRae: Yes. It's a really good question. And there is a lot of different, I would say, vectors of activity that we're seeing there. So one, like I said and like you mentioned, is we are able to capture additional share in several areas. One was obviously Walmart, like I talked about as far as our product launch. That product launch also drove additional assortment at other retailers and obviously, e-commerce. We'll be launching additional product SKUs, as I talked about earlier, that will help us capture some additional share and assortment across the retailers. So I'd say that's one. Two, we are looking at expanding into some additional retailers over the next 6 to 9 months as well. And so there's some discussions going on there. So I think there's incrementality just from that perspective of us being able to capture some incremental shelves across our key markets. I would say also that some of the key retailers and some of our channel partners are realizing that having a very large assortment, meaning many different brands isn't really a path to success. And so they're looking at actually consolidating down to maybe a smaller number of brands on the shelf as we look at this year and probably going into 2027. And that's something, obviously, will be one of the brands that get to remain on the shelf and actually capture a little bit more share, at least mind share or shelf share from a relative perspective. So I think you'll see that trend continue. And then there's various areas that you touched on of the import of cameras from specifically China as an example, and a couple of brands that are being investigated at the federal level and in some cases, some the state level. That is continuing. And I think the activity there has accelerated. We're seeing actual formal actions being taken at the congressional level, at some of the Department of Homeland Security and other areas of the federal government. And there's likely to be some action sometime this year that could block the import of 1 or 2 brands that could open up as much as maybe somewhere between 10% and maybe 20% of unit volume in the United States to be captured. So what we're doing is we're following that from at least an informational perspective and actually working with some of the federal agencies and Congressmen that are actually pushing some of these activities. At the same time, we are making sure that our products, especially the products we just launched, are priced correctly, positioned correctly and are in the right channels to be able to attack that share if it becomes available. So I think it's more likely than not something happens this year, and Arlo is ready to go capture additional share above and beyond the share capture that we're working on with just organic activities across the channels.
Rian Bisson: Got it. Super helpful. And then just if I could just piggyback on kind of the retail partner stuff on a more broad level. So unit volumes were strong in 2025. I'm curious, it's early in the year, but do you have any thoughts on '26 unit volumes or just overall consumer demand, anything that you're hearing on that front?
Matthew McRae: Yes. I would say third-party data is just coming out. And I think what you'll see when that third-party data comes out is they're expecting the overall market to be flat to maybe up 5% to 10% so kind of a typical year-over-year. We endeavor to grow faster than that, as always, because we'll be capturing share. What I would tell you is so far year-to-date, we're seeing a stronger result. And I would say, from a consumer demand perspective than what maybe the third-party data suggests. So I would say the year is off to a good start from at least a consumer confidence perspective. It is a little bit week by week as we're having snowstorms and other quick shutdowns and things that are happening. So there's a little bit of volatility. But overall, I think the year is off to a very good start, and it supports our annual operating plan and the forecast that we're putting together. So I think it's going to be a normal year-over-year growth from a third-party data perspective, and then we're going to outperform that going forward.
Operator: Our next question comes from the line of Hamed Khorsand with BWS Financial.
Hamed Khorsand: So first question I have was, any reason why the cash balance didn't grow so much as your profitability did this quarter compared to Q3?
Kurt Binder: Yes. So we ended the year at $166 million, and we generated on the year close to $68 million of free cash flow. What you don't see in the numbers is that during the year, there was 2 pretty sizable areas of investment we made for our capital allocation plan. First thing is, in the beginning of the year, we made an investment in a company called Origin Wireless. That was about $12.8 million. It's really the first investment that we've made in a technology or IP play, and that's worked out pretty well for us. The other thing is that we actually invested $45.5 million in the share repurchase program. So we returned capital to our shareholders of $45.5 million. So when you look at just the cash balance and the overall year-over-year growth, given the free cash flow that was generated, you have to take into consideration those factors to get to really what the overall business is generating. When we look forward into 2026, we expect free cash flow to continue to grow. We do believe that we can grow free cash flow upwards of $80 million. And so we'll look at that in relation to the capital allocation program that Matt talked in depth about as part of his prerecorded remarks.
Hamed Khorsand: Okay. Maybe I missed it, but I was referring to the difference between Q3 and Q4 was only less than $1 million. Was there any share buybacks in Q4?
Kurt Binder: Yes.
Hamed Khorsand: Okay. That's what it is. And then as far as the investment into your partnerships with Comcast and Samsung, does that require a CapEx spend for you this year?
Kurt Binder: There will be a level of investment we'll need to make. Actually, that is a thing we've factored into our 2026 guidance that we will be putting some of our OpEx away to invest in things like R&D and sales and marketing. So we've already started that planning. And given that those projects in the development phase have already kicked off, that will be factored into -- that is factored into our guidance.
Operator: There are no further questions registered. That will conclude today's call. You may now disconnect your lines.